Operator: Good day, ladies and gentlemen and welcome to the NewMarket Corporation Conference Call and Webcast to review Third Quarter 2021 Financial Results. At this time, all participants have been placed on a listen-only mode. It is now my pleasure to turn the floor over to your host, Brian Paliotti. Sir, the floor is yours.
Brian Paliotti: Thank you, Kate and thanks to everyone for joining me this afternoon. As a reminder, some of the statements made during this conference call maybe forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and our SEC filings, including our most recent Form 10-K. During this call, I may also discuss the non-GAAP financial measure included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measure to the comparable GAAP financial measure. We filed our 10-Q this morning. It contains significantly more details on the operations and performance of our company. Please take time to review it. I will be referring to the data that was included in the last night’s earnings release. Net income was $52 million or $4.80 a share compared to net income of $96 million or $8.77 a share for the third quarter of last year. Third quarter results for 2020 included a gain of $17 million related to the sale of a non-operating parcel of real estate. Petroleum additives net sales for the third quarter of 2021 were $619 million compared to $510 million for the same period in 2020. Petroleum additives operating profit for the quarter was $72 million lower than the third quarter operating profit of last year of $102 million. The profit decrease was mainly due to higher raw material costs partially offset by increased selling prices and higher shipments. Shipments increased 11.9% between periods with increases in both lubricant additives and fuel additive shipments across all regions, except Europe where we reported a decrease in fuel additive shipments. Third quarter shipments versus second quarter of 2021 shipments continued to show recovery, increasing by 1%. Petroleum additives operating margin for the third quarter of 2021 was significantly lower than our historical average for the second quarter in a row. We have continued to see rising raw material costs, energy costs, transportation network issues and other costs associated with the continuing global supply chain disruptions affecting supply and distribution. While we have made some progress in adjusting our selling prices, our costs have continued to rise, putting downward pressure on our operating margins. Margin improvement will continue to be a priority until we see margins consistently within our historical ranges. During the quarter, we declared a 10.5% increase in our dividend and we repurchased 292,392 shares of our stock for $100 million. Also, we funded capital expenditures of $20 million and paid our dividend of $23 million as we continue to operate with very low leverage with net debt to EBITDA ending the quarter at 1.4x. For full year 2021, we expect to see the capital expenditures in the $75 million to $85 million range. We remain focused on the long-term success of our company, including the emphasis on satisfying customer needs, generating solid operating results, and promoting the greatest long-term value for our shareholders, customers and employees. We believe the fundamentals of how we run our business, our long-term view, safety and people-first culture, customer-focused solutions, technology-driven product offerings and a world class supply chain, will continue to be beneficial to all of our stakeholders. Thank you for continuing to join me for the call today. We appreciate your support and we are available for questions via e-mail or by phone. So, please feel free to contact me directly. Kate, that concludes our planned comments. Thank you all and we continue – we will continue to talk with you more next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.